Operator: Good afternoon. My name is Kelly and I'll be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems' Fiscal 2017 Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Thank you. Rick Lund, Investor Relations Director, you may begin your conference.
Rick Lund - Veeva Systems, Inc.: Good afternoon and welcome to Veeva's fiscal 2017 fourth quarter and full year earnings call for the quarter and year ended January 31, 2017. With me on today's call are Peter Gassner, our Chief Executive Officer; Matt Wallach, our President; and Tim Cabral, our Chief Financial Officer. During the course of this conference call, we will make forward-looking statements regarding trends, our strategies, and the anticipated performance of the business. These forward-looking statements will be based on management's current views and expectations and are subject to various risks and uncertainties. Actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q, which is available on the company's website at veeva.com under the Investors section and on the SEC's website at sec.gov. Forward-looking statements made during the call are being made as of today, February 28, 2017. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K filed with the SEC just before this call. With that, thank you for joining us. And I will turn it over to Peter.
Peter P. Gassner - Veeva Systems, Inc.: Thank you, Rick, and thanks to everyone for joining us today. We closed out an exceptional year with a truly remarkable quarter. We crossed the $0.5 billion revenue milestone with fiscal 2017 total revenues of $544 million, up 33% year-over-year. Non-GAAP operating income was $160 million for a non-GAAP operating margin of 29%. There are few enterprise software companies of our size operating with these levels of growth and profit. I want to thank our customers and all Veeva employees for an excellent year. For the fourth quarter, revenue and non-GAAP operating income were above our expectations. Revenue grew 31% from a year ago to $150 million and subscription revenue grew 32% to $119 million. Non-GAAP operating income was $46 million for a non-GAAP operating margin of 31%. We also had another quarter of strong sales performance and record quarterly bookings. Beyond the financial metrics, I'll now review highlights from what was simply a remarkable quarter. In Commercial Cloud, we saw strength across all our offerings and regions. Let me provide a few examples. We had a major win with the largest domestic Japanese pharmaceutical company, who selected Veeva as their CRM standard for their operations in Japan. It's a significant lighthouse win for Veeva. We believe their successful service showcase that will help us realize the major untapped opportunity we see among domestic pharmas in Japan. A European top 20 pharma decided on an accelerated global Veeva Commercial Cloud rollout schedule. Over the next two years, they plan to expand to 20 additional countries and from Veeva CRM and Veeva CLM to full Veeva Commercial Cloud, including multi-channel CRM, Align, Events Network, and Open Data for many countries. We are leveraging our leadership position in core SFA into the larger Commercial Cloud opportunity. Turning to Veeva Vault, we had another record quarter and the vault business is now at an annualized revenue run rate of over $220 million. In Q4, we signed our two largest vault deals ever. They are also our first deals with top 20 pharmas standardizing on the Vault RIM suite of regulatory products. We expect these customers to rollout Vault RIM globally over the next three years. Regulatory is an area that is really taking off for Veeva. Getting products approved, registered and maintained with health authorities around the globe is very strategic for life sciences. We believe we're at the start of a major transformation cycle in regulatory technology. We're seeing great traction with Vault RIM, because we can now offer the first-ever suite of unified cloud applications to streamline the product submissions, registrations and variations processes. The number of our regulatory customers and the size of our regulatory pipeline has more than doubled since last year. Also, in the quarter, we announced a new addition to the RIM suite, Vault Submissions Publishing, planned for early 2018. The market response has been overwhelmingly positive. The market is clearly looking for a cloud-based publishing solution from Veeva. The same need for unified modern applications on a single cloud platform is also driving momentum in clinical and quality. On the clinical side, this is reflected in continued strength in eTMF, as well as very strong early adopter interest for CTMS, which is planned for April. Customers want a CTMS that is easy to use, flexible, fast and open. And they want eTMF and CTMS together on one cloud platform. Developing is also progressing on track with our newest clinical product, Vault EDC. EDC is our entry into the large clinical data management market. This is a large, strategic and long-term play for Veeva and the life sciences industry. We plan to reinvent the market with a new technical approach. We anticipate starting clinical trials with EDC early adopters in Q2. Clinical is a critical area for life sciences and will be a large market for Veeva. We are in the early stages of the opportunity here and have already generated strong momentum and built a reputation for innovation and success. We ended the year with 145 clinical customers, up more than 70% from the end of last year. We're also seeing continued success in quality with Vault QualityDocs and Vault QMS. We now have more than 100 customers, up more than 80% from the end of last year. In addition to our success in Commercial Cloud and Vault, we're also actively forging even deeper relationships within the industry that extend well beyond software and reinforce our role as a trusted partner. One example is our leadership in the newly-formed industry standards group, Align Biopharma. We launched Align Biopharma in January with founding members, Allergan, AstraZeneca, Biogen, GSK, Lilly, Novartis and Pfizer. This group has come together to create open technology standards, such as identity and consent management, to make it easier for healthcare professionals to work with life sciences as an industry. By establishing and adopting common standards, the industry can greatly improve digital access and create a more seamless online experience for its shared customers. Now, I'll provide an update on our progress with Vault outside of life sciences. Last year, we assembled the team to explore bringing the benefits of Vault to customers outside of life sciences. We've made excellent progress in the last three quarters. We have a dedicated go-to market team led by Frank Defesche, one of our long-time Veeva leaders. We are focusing on the quality applications market as our initial entry point, with Vault QualityDocs and Vault QMS. Outside of life sciences, we offer these applications together under the brand, Vault QualityOne, because customers usually want both applications. We will also take on Vault platform opportunities that fit well in and around Vault QualityOne. QualityOne can serve a wide variety of customers. Broadly speaking, our target markets for QualityOne are manufacturing, both process and discrete and highly regulated services industries of all types. We will concentrate our efforts in North America and in Europe in the coming year. To-date, we've seen the most interest from chemical, CPG and cosmetic companies. We closed a number of initial deals and have multiple projects underway with organizations, large and small. Notable wins in Q4 include initial projects with two Fortune 500 companies, both happen to be top 30 global chemical companies. We're very encouraged by this early traction. The quality software market is underserved today. Customers are stuck on legacy and custom-built applications. Our early estimates indicate that this market represents well over $1 billion TAM, just in quality software outside of life sciences. Our fundamental approach is the same outside of life sciences as it is inside life sciences. We start in one area and deliver cloud solutions that are dramatically better than existing solutions. We make early adopters successful and then expand through reference selling. We grow within accounts over time adding more divisions, regions and applications. In closing, Q4 was a remarkable quarter to complete another great year. This month also marks Veeva's 10th anniversary. We have executed well in our first 10 years. A year and a half ago, we set out a goal to reach $1 billion revenue run rate within life sciences in 2020. Today, we are tracking ahead of that goal and have planted the seeds for strong organic growth beyond 2020. I'm very excited about the next 10 years at Veeva. I would like to thank our customers for their trust and partnership and our employees for their continued commitment to customer success, employee success and speed. With that, I'll turn it over to Tim to review our financial results and outlook in more detail.
Timothy S. Cabral - Veeva Systems, Inc.: Thanks, Peter. Q4 was a strong finish to another great year for Veeva. Total revenue was $150 million, up from $114 million one year ago, a 31% increase. This wrapped up a full year in which total revenue was $544 million, up from $409 million in fiscal 2016, a 33% increase. Vault represented 35% of total revenue in Q4, up from 25% one year ago and 32% for fiscal 2017, up from 22% in the prior year. For the fourth quarter, subscription revenue was up 32% to $119 million from $90 million last year. This performance was positively impacted by record quarterly bookings, which were partially offset by those bookings being more back-end loaded compared to recent quarters. For the full year, subscription revenue was $434 million versus $316 million in the prior year, up 37%. Within that, CRM subscription revenue grew 17%, slightly ahead of our previous guidance from the Analyst Day and non-CRM grew 113%. Going forward, we'll focus our disclosure on Commercial Cloud and Vault, which is better aligned with how we run our business. For fiscal 2017, Commercial Cloud subscription revenue grew 19% and Vault subscription revenue grew 120%. In considering this growth rate of Vault subscription revenue, please remember that we benefited from a full year of contribution from Zinc in fiscal 2017. Our business model is built around driving customer success and delivering increasing value to our customers over time. Our focus on these goals drove 127% revenue retention rate for fiscal 2017. This metric is defined in the earnings release and reflects annualized subscription revenue growth within existing customers, net of revenue attrition. Services revenue for the quarter was $31 million, up from $24 million one year ago. Sequentially, this was up slightly from $29 million in Q3 and well above our expectations. This outperformance was driven primarily by a few one-time items, including earlier than expected recognition of fixed fee milestones. In addition, we continue to see robust customer demand, especially around R&D Vault projects. In discussing the remainder of the income statement, please note that unless otherwise stated all references to our expenses and operating results are on a non-GAAP basis and are reconciled to our GAAP results in the earnings release that was posted just before the call. In Q4, our subscription gross margin was 80%, an increase of almost 100 basis points from a year ago, driven primarily by the faster growth of our Vault products and our non-SFA Commercial Cloud offerings, which have a higher gross margin profile relative to our core SFA products. Services gross margin for the quarter was almost 37% compared to 23% one year ago and down only slightly from 38% in Q3. Recognizing that our services gross margin has been in the 30%s for most of the year and there will always be quarter-to-quarter variations, over the long run, we still believe our margins should be in the 20%s, which aligns with our target utilization rates. Our total gross margin for Q4 was over 71% and increased roughly 375 basis points from one year ago. This improvement was driven primarily by the higher services gross margin and to a lesser extent by the rise in subscription gross margin and the increased contribution of subscription revenue as a percent of total revenue. Overall, our operating income came in at $46 million, a nearly 31% operating margin, which was well above the high end of our guide. This result was driven by better-than-expected revenue and gross margins in our services business and another back-end loaded hiring quarter. In Q4, we added 85 people net, finishing at 1,794, up from 1,474 employees one year ago. Net income was $33 million compared to $22 million last year. Our non-GAAP effective tax rate of 29% for Q4 was lower than expected due primarily to a larger R&D tax credit benefit for the year. Note that, starting this year, we will be adopting a flat long-term non-GAAP tax rate of 35% in order to allow investors to consistently evaluate our net results. This rate will not change quarter-to-quarter, but will be reevaluated on an annual basis. Turning to the balance sheet, deferred revenue was $214 million at the end of the fourth quarter compared to $137 million at the end of the third quarter. This resulted in total calculated billings of around $227 million which is well ahead of our guidance from the last call. This outperformance stemmed from a combination of strong bookings, longer than expected invoice duration on those bookings and a meaningful outperformance in services. Please note there are numerous factors that make year-over-year comparisons of this metric highly variable on a quarterly basis. Therefore, we do not believe it is a good indicator of the underlying momentum of our business and we do not manage to it internally. Our subscription revenue guidance and calculated billings guidance for the full fiscal year are the best indicators of our strong momentum. To that point, calculated billings grew by 32% from last year. Further, as I noted a moment ago, our fiscal 2017 growth performance benefited from a full year of contribution from Zinc. Looking ahead, we expect calculated billings growth of approximately 20% for fiscal 2018. For Q1, we expect calculated billings of $175 million to $176 million. Please remember that our renewal base is increasingly weighted towards Q4. We expect that roughly 35% to 40% of our total calculated billings for the year will come in the fourth quarter, similar to fiscal 2017. Elsewhere on the balance sheet, we exited Q4 with $519 million in cash and short-term investments, up from $511 million at the end of Q3. Accounts receivable increased to $183 million from $66 million at the end of Q3. This has become a normal seasonal pattern, because our renewal base is skewed towards Q4 and within the quarter skewed towards January. For example, in this last quarter, roughly two-thirds of our billings were invoiced in January, which means that a significant portion of these invoices were still on the balance sheet at quarter-end. This seasonal effect has a strong influence on cash flow from operations, which came in at negative $2 million in the fourth quarter, down from $3.4 million in Q4 of last year. We expect Q1 operating cash flow will likely represent a significant majority of the cash flow for fiscal 2018, similar to what we saw in fiscal 2017. Since our operating cash flows can be volatile quarter-to-quarter, we look at our cash flow performance on a last 12 month basis. For fiscal 2017, cash flow from operations was $144 million. This represents growth of almost 80% from fiscal 2016, though it's important to note that the shift in our renewal base to Q4 beginning in fiscal 2016 essentially pushed cash collections from the end of that year to the beginning of fiscal 2017, thereby inflating the growth of our fiscal 2017 cash flow when compared to the prior year. Let me wrap up by sharing our outlook for Q1 and for fiscal 2018. For the first quarter, we expect revenue between $151 million and $152 million, non-GAAP operating income of $41.5 million to $42.5 million and non-GAAP net income per share of $0.18 based on a fully diluted share count of approximately 149 million. Note that Q1 contains 89 days compared to 92 days for other three quarters. The fewer days of revenue recognition primarily affects our subscription revenue, which is recognized on a daily prorated basis. We currently believe this will negatively impact Q1 revenue by about $4 million. This also affects our gross and operating margins, as virtually all of our expenses are recognized on a monthly basis, while revenue is recognized daily. For the year, we expect revenue in the range of $655 million to $660 million, which is an increase from our initial guidance of roughly $650 million. We currently expect subscription revenue to grow at least 25% for the full year. Additionally, we expect subscription revenue from our Commercial Cloud products to increase roughly 15% over last year and subscription revenue from Vault to grow at least 50%. Services revenue is projected to be up only slightly for the year and down sequentially in Q1. We're anticipating non-GAAP operating income of $180 million to $185 million for the full year, which implies a non-GAAP operating margin of 27.5% to 28%. This is consistent with the initial full year profit guidance that we provided on the last call and represents our plans to invest aggressively across the areas of our business, which we believe will drive long-term growth, like our newer Vaults products and our initiative to move outside of life sciences. Finally, we expect non-GAAP net income per share of $0.78 to $0.80 for the year, based on a fully diluted share count of approximately 152 million. Overall, we're very pleased with the performance of Q4 and with the progress we made over the course of last year. I remain more optimistic than ever about our ability to execute over the next decade. Thank you for joining us on the call today. And I'll turn it back to the operator for questions.
Operator: Our first question comes from Brian Peterson from Raymond James. Your line is open.
Brian Peterson - Raymond James & Associates, Inc.: Thanks, guys, and congrats on the quarter. So there were obviously some large wins this quarter, both Vault and on CRM. Just want to understand, how should we think about the implementation into the P&L over the next couple of years, because that's – you obviously mentioned a two year to three year timeframe for this?
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. So, Brian, this is Tim, by the way. So, you're right. We will see some of those on the Vault side, specifically, have some impact to revenue that we guided on in fiscal 2018 and those, as we've seen and talked about in other types of arrangements, those will grow or have an uplift over the coming years. On the CRM side, it's early deployments. And, as we've seen in the past, those will grow as our customers use it across more divisions, geographies, and more products. So those will grow over, as you said, that two year to three year time period.
Brian Peterson - Raymond James & Associates, Inc.: Got it. Understood. And, Tim, maybe any granularity you can give on the investments in the non-life sciences area. How much is that impacting profitability versus the core business?
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. So, we haven't broken that out. Again, I think, when you think about outside life sciences investment that we're making it is a very focused team that is going after finding early adopters that we can make successful. It's a similar pattern you saw when we started CRM, when we started Vault, many years ago, Brian. So, it's not having, I would say, a material impact, but we're not breaking that specifically out.
Brian Peterson - Raymond James & Associates, Inc.: Got it. Thanks, Tim.
Timothy S. Cabral - Veeva Systems, Inc.: Sure.
Operator: Your next question comes from Brent Bracelin from Pacific Crest Securities. Your line is open.
Brent Bracelin - Pacific Crest Securities: Thank you for taking the question. I guess one for Peter and one for Tim, if I could. Peter, on the regulatory kind of Vault Suite, it seems like you're kind of hitting an inflection point there. Walk us through why now. What's happening in that kind of regulatory environment that's kind of driving the big wins there? It sounds like this is the first two wins in the top 20, correct me if I'm wrong there, but walk us through kind of the why now. What's happening there?
Peter P. Gassner - Veeva Systems, Inc.: Yeah, Brent. Those are our first two wins for the Suite in the top 20. It's a good question, why now. Part of it is our product strategy. So we have a set of products that are unified set of products across content and data. So that's the Registrations, the Submissions Archive and the Submissions Authoring. Nobody has really had that before on a one comprehensive platform. So there is more value there for people to buy than there ever was. That's one. Also, the number of drugs that are getting approved in the number of countries that our customers are selling them into is going up. And also the manufacturing processes are getting more complex as they move from more pills to more biologics and even biosimilars. And the more complex the medicine, the more often you have to change your recipes and you have to reregister. The more complexity and the better product and I think that's causing the tipping point.
Brent Bracelin - Pacific Crest Securities: Very helpful. And then I guess, Tim, from a services standpoint, if we think about that business, year-over-year we've seen acceleration now after three quarters, obviously easy compare last year. But, as we think about that services business, is that a leading indicator and kind of something we should think about given some of these large new wins that we should assume growth in services will continue to kind of accelerate? If I just look at last year, 16% growth, roughly accelerated, overall 18% growth. Should we think about that services business accelerating based on the number of wins on the Vault side or walk us through the logic on the services mix?
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. So, Brent, I wouldn't consider services revenue as a leading indicator to the business. I think services will continue to be lumpy. I do think what you're seeing in our service business today is the outcome of us having a very strong product portfolio and the opportunity to have potential services deployments and projects across many different product areas. Now the other thing to note is, in all of these areas, as you know, services is an ecosystem play. So it's not just Veeva that is enabled to get services revenue on those projects. So that could flex in terms of what percent of the pie, if you will, we get versus the ecosystem. So, again, let me finish where I started. I think this is a lumpy business. We've seen the benefit of having a great product portfolio and a number of different services opportunities, but I wouldn't characterize it as a leading indicator for the business.
Brent Bracelin - Pacific Crest Securities: Got it. And just to clarify. As you think about going into new areas outside of life sciences with the quality software, will some of those revenue contributions show up in services first or will it start to show up in the subscription services line first?
Peter P. Gassner - Veeva Systems, Inc.: This is Peter. It'll show up in both lines, very similar to our other business. And the amount of services that we have on any given project is going to vary. So, I see no differences in the service versus subscription mix outside versus inside of life sciences.
Brent Bracelin - Pacific Crest Securities: Fair enough. Thank you.
Operator: Your next question comes from Stan Zlotsky from Morgan Stanley. Your line is open.
Josh Baer - Morgan Stanley & Co. LLC: Hi. This is Josh Baer on for Stan. Thanks for taking my question. Just wondering, so Vault is clearly performing very well in the market. Are you seeing any geographic bifurcation in the adoption of the product or is it all fairly uniform?
Matthew J. Wallach - Veeva Systems, Inc.: Hi, Josh. This is Matt. So, when we started with Vault, we started just in the U.S. for a few years and really focused there, exactly as we did in CRM. And in the past couple of years we've expanded those efforts into Europe and in the last year or so into Japan. I think one of the most important things that's happened to Vault in the last year has been success across geographies. So it's much less U.S.-centric today than it was a year ago. And we even have announced – we announced a couple of important wins in Japan with global Japanese domestic pharma companies across R&D. And so, I think, it's become much more geographically dispersed and that's probably something that will continue.
Josh Baer - Morgan Stanley & Co. LLC: Excellent. And was there any FX impact on billings in the quarter?
Timothy S. Cabral - Veeva Systems, Inc.: No. There wasn't. I shouldn't say there was zero, but it was immaterial.
Josh Baer - Morgan Stanley & Co. LLC: Okay. Great. Thank you.
Operator: Your next question comes from Tom Roderick from Stifel. Your line is open.
Tom Roderick - Stifel, Nicolaus & Co., Inc.: Hey, gentlemen. Good afternoon. Thanks for taking my questions. So, I'd love to talk a little bit more about QualityOne here and particularly the industry that you guys have found your way into with, the process manufacturing, chemical, CPG. Talk a little bit more about how you ended up selecting those and knowing that sort of vertical specificity is the key to what made you guys successful in pharma, what have you learned from a regulatory and backdrop in this arena that gives you an edge over the competition there?
Peter P. Gassner - Veeva Systems, Inc.: I'll take that one. This is Peter. QualityOne – the real thing is what we're looking for is it's companies that are governed by some types of regulation or they have some type of health and safety concerns. So, certainly, chemicals are in there, CPG, food, all types of regulated services. So those – it makes them appealing because they need software like this, I guess, because they have to have downside, if they don't follow processes and procedures and they need to be controlled and how they control though – change those processes and procedures. So they've always needed software for these types of things. And what we're finding is they are just on a lot of legacy software. Sometimes a lot of homegrown software, legacy client server, a lot of disparate systems, no clear leader, and it just became apparent to us that this is a great market, the QualityOne market. And we had early indicators of that when we started introducing the quality software inside of life sciences. We really saw the life sciences' customers really looking for a unified solution across data and content and that's just continued over outside of life sciences. The other thing to mention is that our Vault platform is really suited for something like this that has content and data. It's uniquely suited for that. So we felt like the timing is right. We have a platform to make this great application that could never have been made before, because you need a platform that does content and data. And the customers are looking to move to the cloud and it just sort of took off from there.
Tom Roderick - Stifel, Nicolaus & Co., Inc.: And, Tim, a follow up for you on that very topic, since we all have a tendency to get a little out over our ski tips. How would you encourage us to think about the way that this sort of plays into your numbers knowing that Vault in a new industry took kind of three years to get some scale and four to get some real scale. Is that the right timeline to think about here or do you have better infrastructure in place and better processes in place that this could contribute more readily in a faster timeframe?
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. I would say that it's similar, Tom. In fact, I think, we look at this initiative as one of the key seeds we're planting for longer-term growth. And I think that three year to four year horizon or honestly even longer than that is the right horizon to think about in terms of the opportunity that's in front of us.
Tom Roderick - Stifel, Nicolaus & Co., Inc.: Perfect. Thank you, guys. Appreciate it. Nice job.
Timothy S. Cabral - Veeva Systems, Inc.: Thanks, Tom.
Operator: Your next question comes from Kevin (sic) [Ken] (32:39) Wong from Citigroup. Your line is open.
Kenneth Wong - Citigroup Global Markets, Inc.: Hey, guys. It's Ken. You guys touched on – you touched on that large EDC market and I figured I'd kind of bring it up since it's filtering out there. But any comments you guys can make in terms of the Medidata lawsuit and any concern that this could pause some customer buying decisions around your product?
Peter P. Gassner - Veeva Systems, Inc.: Yeah, Ken. This is Peter. In terms of the lawsuit, Medidata did file a lawsuit at the end of January. We don't think the lawsuit has any merit and we'll respond to those claims in due course. We're not seeing any change in behavior at the customer. Certainly, there is chatter and they want to know about what's going on. So we have to explain it to them. But in our view, the Medidata lawsuit, it's really an attempt to stall our entry into the CTMS and EDC markets. We don't think that will be successful. But when I look at it more, the way Medidata is going about this, it's just wrong. Medidata – they sued Veeva and they sued five ex Medidata employees. These people had an average of over eight years in the company, at Medidata. They were long-term, loyal Medidata employees. They just wanted to continue on with clinical innovation. One of these people has even been at Veeva for over two years. So, I think, Medidata – they should really be ashamed of the way they're going about this.
Kenneth Wong - Citigroup Global Markets, Inc.: Fair enough. Thanks for that. And, Tim, as I look at OpEx, you guys mentioned your long-term sales and marketing as a percent of revenue goal being kind of 17%, 18%. You guys are at 18% of revenue this year. Should we think of that line as generally plateauing now or is that still going to grow next year as a percent of revenue?
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. Ken, I think, what I would say is we still believe the 2020 operating model that we gave a year-and-a-half ago is right, which is the 17%, 18%. In terms of whether or not we stay at 18%, I wouldn't necessarily say that. We will, as you've seen us do, invest appropriately to drive long-term growth and customer success. So that could come with a stair-step investment. However, to be clear, that's not expected – any investment we're making in that area is already included in the guidance – in the operating margin guidance that we just gave.
Kenneth Wong - Citigroup Global Markets, Inc.: Got it. All right. Thanks a lot, guys.
Operator: Your next question comes from Richard Davis from Canaccord. Your line is open.
Richard Hugh Davis - Canaccord Genuity, Inc.: Hey. Thanks. Question for you, the – I think one of the things sometimes investors underestimate with you guys is how advanced Vault is. And so, then when I think about, to some degree, some of the better companies I've known and what they do when they come into new markets is they sell a product that is a kind of superset of functionality at an equal to or lower price. If I were a potential customer of yours in one of these new markets you're going after, is that the pitch that I'm going to hear from the salesperson that, hey, listen – because you mentioned – you said, well, it's technically advanced. I'm just trying to assess how technically advanced is it. Are you going to do more things and better or are you just doing it faster and hopefully you don't say oh, it's just cheaper, because that's probably less effective? So, thanks.
Peter P. Gassner - Veeva Systems, Inc.: Yeah. So, Vault QualityOne, especially outside of life sciences, one of the things is they've often had to have two systems for this. One to manage their quality data, they call this a QMS, and one to manage their control documents. They would call it document control, SOP management. And that would be a different system to manage their documents. So, we're saying you can have that all-in one system. You don't have to build the integration and you have seamless interoperation between these two type of things. So, that would be one. I think the other one is a true cloud system, so a flexible system that can configure to different business processes. Especially in a large company, you'll have many different divisions. You might have a process manufacturing division and a discrete manufacturing division, highly regulated service division. So, if you look at a big conglomerate, a $30 billion company, they might – with QualityOne, over time, they might replace 40, 50, 60 different systems across different divisions for specialized things. So it's more about getting a better system, reducing disparate systems, more ease of use and moving to the cloud always being current. Also, one of the things that is often missing in the legacy systems is comprehensive reporting and analysis across data control and document control. So it's a better system and a more unified system to sort of ride in there and kind of clean up the mess.
Richard Hugh Davis - Canaccord Genuity, Inc.: Got it. That's very helpful. Thank you so much.
Operator: Your next question comes from Scott Berg from Needham. Your line is open.
Scott Berg - Needham & Co. LLC: Hi, everyone. Congrats on a good quarter. I have two brief questions. The first, I don't know if Peter or Matt want to take it, but I wanted to see if you can comment on the linearity on bookings in the quarter. I forgot who made the comment, but someone commented that the quarter is more back-end weighted than expected. Was there any color around maybe geographic locations that it was more back-end weighted or just trying to find the right way to view that comments.
Timothy S. Cabral - Veeva Systems, Inc.: Yes, Scott. This is Tim. I'll take it actually. I wouldn't say there was anything there that we would say is trend-setting. I think, in any quarter, you'll sometimes find the mix of those particular deals. And when our customers – and we close those deals – could be highly linear across the months or could be back-end loaded and we just happen to see a quarter that was back-end loaded.
Scott Berg - Needham & Co. LLC: Got it. And then my follow-up would be, along the Vault platform, your net customer adds in 2017 were higher than the net customer adds in 2016. If my math is right, I've got 47 in 2017 versus 21 in 2016. Wanted to see if you can help provide some color around maybe the Vault platform adoptions that you saw during the year. Obviously, you released more Vault products in 2017, so, there is probably a more despaired group of sales. I was just trying to understand where that extra strength came from.
Matthew J. Wallach - Veeva Systems, Inc.: I don't understand the numbers that you used. You're trying to calculate number of new Vault customers per year?
Scott Berg - Needham & Co. LLC: Yeah. I took it off your press release from the last two years.
Matthew J. Wallach - Veeva Systems, Inc.: So I think the number of new Vault customers each year has increased. It was an increase of over 100 this year. I think it was 150 new customers this year. And if I can rephrase your question basically what's going on, how come we're able to add more customers than ever before, is that essentially your question?
Scott Berg - Needham & Co. LLC: Sure.
Matthew J. Wallach - Veeva Systems, Inc.: Got it.
Scott Berg - Needham & Co. LLC: Yeah. I was just trying to understand the excess growth there, because it looks like you grew the Vault customer base faster in 2017 versus 2016. Just trying to understand what products kind of drove some of that.
Matthew J. Wallach - Veeva Systems, Inc.: All right. Got it. So, I think, if there is a story around new customer growth in fiscal 2017, it's probably kind of strength across all the different applications. So when we started, we just had PromoMats and then, we focused on MedComms and then we focused very heavily on eTMF and the clinical space. And then we spent time on quality. And then this last year is when the RIM suite for regulatory really took off. If I look at the new customer adds across the board, we may have added more new customers for every one of those applications this year than any other year in the past. So it was really – and some of that is lots of reference customers for each one that drive sales cycles for the rest. But it's also a lot of cross-selling. So the more customers we have for PromoMats, the more companies there are that have the Vault platform and that we can get introductions to other parts of the company. The more companies that have eTMF, the more quality and regulatory people we meet. So kind of, if it was an ecosystem, it's all working together and it's kind of becoming a self-fulfilling prophecy that if you have one Vault, you're probably going to get more Vaults over time, because of the success of that first project and the happiness and success of those users.
Scott Berg - Needham & Co. LLC: Great. That's all I have. I'll jump in the queue. Thank you.
Operator: Your next question comes from Kirk Materne from Evercore. Your line is open.
Ted Lin - Evercore Group LLC: Hi. This is actually Ted Lin on for Kirk and thanks for taking my question. Tim, can you give us a little more color on where you're focusing in terms of head count additions this year? We assume it'll continue to be focused on R&D and sales and marketing, but are there any specific geographies where you're looking to expand sales coverage in or any product areas that need to be beefed up on the R&D side?
Peter P. Gassner - Veeva Systems, Inc.: Yeah. This is Peter. I'll take that one. The hiring is really across the board, both in the field and both in the products. In terms of the field, we have – when we have new products, we have to sell new products, but also when we acquire new customers, we have more field people to support those people to provide services that we're going to add more people on the regulatory area in the field, in the clinical, in the quality area. In terms of the product development, our biggest areas of investment are in the clinical area, where we would bring up CTMS and EDC. And so we'll be growing those teams. And also in the quality area, where we'll be beefing up our quality products for our outside of life sciences effort. But, broadly speaking, it's across the board. There is no one particular area that's going to take the lion's share of the new head count.
Ted Lin - Evercore Group LLC: Got it. And, Peter, just a quick follow up, if I could. What are your thoughts on the potential for more partnerships with larger systems integrators as your product suite continues to grow and as the strategic nature of your offering increases?
Matthew J. Wallach - Veeva Systems, Inc.: This is actually Matt. I'll take that. So the partnerships with systems integrators have continued to grow in importance, I would say, both for us and for them. So big companies like Deloitte and Accenture have big Veeva practices, used to be Veeva CRM practices, but now those practices span clinical, regulatory and quality. And in each one of those areas, there's additional companies that are strong either in a geography or in one of those three areas on the R&D side. So, I think, we're going to continue to invest in those partnerships. We've invested in the team that manages those partnerships around the world. And then I think when we look outside life sciences, there is a lot of additional opportunities for those SIs to expand and for others. And we have a lot of interest from other companies that I didn't just mention. One was just in our offices here in our big conference room last week, talking about what are some of the other industries and can maybe our go to partner for manufacturing, for chemicals, for CPG. And so I think there's going to be a broadening suite of SI partners for us within life sciences and across.
Ted Lin - Evercore Group LLC: Excellent. Thank you very much.
Operator: Your next question comes from Bhavan Suri from William Blair. Your line is open.
Bhavan Singh Suri - William Blair & Co. LLC: Hey, guys. Thanks for taking my question and congratulations on a nice set of numbers. Just a couple quick questions here. You sort of commented about how CTMS and eTMF combines the platform is certainly driving some of the growth there. When you look at the EDC product, does the fact that the data and the documents are combined start becoming appealing when you want to take customers away, say, from outside of the multi-tenant, outside of usability (45:21). Just the fact that I've got the documents and the source eTMF stuff along with the data capture piece and the clinical trial management system become a competitive differentiator against as like Medidata and Phase Forward. And I guess Medidata has also sort of entered the document management space. How do you guys think about that?
Peter P. Gassner - Veeva Systems, Inc.: Okay. This is Peter. I'll take that. Customers are looking for unified clinical systems, all-in-one platform. If they can get that, they will want that. And that's across the eTMF to the CTMS to the EDC, because all of those need to be integrated together, right. They all have to operate on the same definition of what is this clinical study, what is this clinical site, who is this investigator, and you're right it spans all types of documents and data. Now, we're also investing heavily in eSource, which is to get rid of the paper out of the data collection process, out of the clinical investigation side. And that's what eSource is about. That will be a real differentiator for Veeva, because the existing players don't really focus in that area. So we're looking at being the first company that has this integrated suite of things, eTMF, CTMS, EDC and then also taking on this area of eSource. So that's broader than anybody has done in clinical before. In terms of your question about Medidata and their entry into the eTMF, they did buy a small competitor that we actually had never seen in the market. So competition is good for the market. We welcome them. We're going to concentrate on customer success. That's the main thing that we will do.
Bhavan Singh Suri - William Blair & Co. LLC: Thanks, Peter. And then one quick one on that space before I maybe turn it over to Tim. But obviously, you had some success with the CROs, ICON being just a great win there for some of your Vault products. As they go to self-clinical trials of pharmaceutical companies, are they taking your technology with them and sort of effectively acting as a reseller? Is that a channel or is that something that's not really happening?
Matthew J. Wallach - Veeva Systems, Inc.: So, we've not – this is Matt. Hi, Bhavan.
Bhavan Singh Suri - William Blair & Co. LLC: Hey, Matt.
Matthew J. Wallach - Veeva Systems, Inc.: We've not used them as a channel in terms of a reseller or an OEM, but they are a channel. In that, they are delivering services on behalf of those sponsors. So we don't sell through them, but sometimes they will license our software and then deliver their services using that software. They may charge for that software. They may not, but that's up to them. So in the eTMF market, that's how it worked. In the EDC market, it could end up being different. And, I think, you know Medidata and Phase Forward had big reseller deals and pass-through deals with a lot of the CROs. We're looking at potentially innovating in that area as well and coming up with a model that's really good for us and good for the sponsors and good for the CROs.
Bhavan Singh Suri - William Blair & Co. LLC: Got it. And one last one, Tim, and maybe you want to take this or the other gentlemen, but you sort of guided to Vault growth of at least 50%. Just obviously given the big wins, given sort of the bigger size deals, given sort of you're seeing people buy more wholesale than piecemeal, the various modules and things, how should we think of that? Is that sort of like the floor, is that conservatism? And sort of you've also got now expansion into other markets inside (49:01) life sciences, just trying to understand how we should think about that 50% or at least 50% guide. Thank you.
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. And I want to make sure that the transcript is right. It's at least 50% – 50% which we're very happy with in terms of the guide that we gave for fiscal 2018, Bhavan. We think it shows the continued momentum that we have in Vault across the product suite. As you heard in Peter's remarks, Vault is now our – I think it might have been in the press release actually. Vault is now a $220 million annual run rate business. So a 50% growth in subscription revenue on that business, we're very happy with, and again, think it underlines the momentum of that business.
Bhavan Singh Suri - William Blair & Co. LLC: Great. Thanks for taking my question, guys. Nice job.
Operator: Your next question comes from Jesse Hulsing from Goldman Sachs. Your line is open.
Jesse Hulsing - Goldman Sachs & Co.: Yes. Thank you, guys. I had a question about QMS. How are deal sizes trending within that Vault product line? Are you starting to see larger customers either adopting or evaluating the platform? And, I guess, along the same lines, how do you think CTMS will ramp from a customer size and deal size perspective?
Matthew J. Wallach - Veeva Systems, Inc.: So this is Matt. In terms of QMS, we're kind of coming out of the small company early adopter phase now. So during that phase, we don't really track deal size. I think that's largely been smaller – small-sized and mid-sized companies. And now the sales cycles are starting to go into the big enterprise companies for QMS. So they should trend up over time, as we have success with larger companies. And that's exactly as we would have expected a year and a half ago or a year – when we announced that product or I shouldn't say year and a half, about a year ago. CTMS, I think, will be the same. So CTMS, we're going to start with smaller companies. And in the second and third release of that product, so 8 months, 12 months down the road after the first version has been out, then we really start to go after the large companies, assuming that that first batch of smaller companies is having success. And so far, it looks like we'll have similar success, at least with CTMS. And if you remember QMS, kind of, did great out of the gate, continued to do great through the balance of last year. And the interest in CTMS is at least as strong as what we've seen early days of QMS.
Peter P. Gassner - Veeva Systems, Inc.: Yeah. I'll just add there. One of the reasons why they are similar is, if you look at the installed base inside life sciences of CTMS and QMS, it's dominated by actually client server. Some of these things were – the original systems were installed 15 years ago. So they're going to have a similar uptake. They are both very important systems. So people are going to be relatively cautious about changing them, but they should follow similar paths.
Jesse Hulsing - Goldman Sachs & Co.: Yeah. Yeah. That makes sense. And then, I also wanted to quickly touch on QualityOne. Based on your early engagements, how far from product market that you think you are? I guess another way of asking it, how transferrable is your technology and process expertise to these new verticals without significant incremental R&D?
Peter P. Gassner - Veeva Systems, Inc.: That's a good question. Product market fit, that's always a – never a binary thing, right. It's never either on or off. You're always trying to achieve it. I would say product-wise, things look quite good. If there is areas, the biggest area we probably have to put some effort into is in the discrete manufacturing area there. So, that's some product group, but that's not major, major. I think the main work is getting our field team tuned towards outside of life sciences, selling into a non-constrained market, make sure we have our good processes there, and then we just have to build up reference customers. Let's say, if, over time, we get these two top 20, top 30 chemical companies live and happy rolled out to major deployments across major divisions, those are going to be great reference customers for other chemical companies, for agro chemical companies and for similar types of companies. So, I don't think the product will be our major blocker, because in many ways we're ahead of the competition, because we have a cloud-based platform, unified platform and really competition doesn't have that. So, product-wise I think that's one of our big advantages, our product strength.
Jesse Hulsing - Goldman Sachs & Co.: Okay. That's all. Very helpful. Thank you.
Operator: Your next question comes from Brad Sills from Bank of America Merrill Lynch. Your line is open.
Brad Sills - Bank of America Merrill Lynch: Hi, guys. Thanks for taking my question. I wanted to ask about the promotions business now that you had Zinc ahead in there for several quarters. How is the integration effort gone? How do that business trend this quarter having those two more integrated?
Matthew J. Wallach - Veeva Systems, Inc.: Yeah. So, this is Matt. I think the integration with Zinc – we don't really talk about it with integration anymore. Like Zinc is Veeva. And the progress that we've made with their employees and making us better and making them better, I think, has been pretty complete. We're happy with that. If I look at customers, one of the big things was, are we going to be successful in migrating customers from the Zinc product to Vault PromoMats? And we have been. The initial customers that have completed that migration have been happy with the new platform. In Q4, we started our largest migration project, the first one with the top 20 pharma company. It was a long-time Zinc customer and actually kind of a short-term Vault customer. They used both systems for a period of time. Now they are moving to use Vault globally. And, it was also a very important step that we took that acquisition in kind of becoming the market leader in digital content, because that's clearly where commercial is going in pharma. I mean when I meet with companies, they all have a digital transformation project. They have Chief Digital Officers now. They have people in-charge of these divisions that they're getting from other industries to really get learnings from industries that are ahead of pharma and the ability to manage all their digital content in a system that is integrated with Veeva CRM has been really important for them and really enables them to go fast. So we're very, very pleased with the progress there. And I'm personally really happy that the strategy that we took is playing out and it makes us really feel like a partner, as they are going into what is a difficult transformation for them moving from the paper world to the digital world.
Brad Sills - Bank of America Merrill Lynch: Great. Thanks, Matt. One more, if I may, please, just on the commercial business, obviously expecting still healthy growth there this year at 15%. What's the primary driver there, if you had to kind of stack rank? Is it American companies adding more subsidiaries internationally like we saw last quarter or is it more cross-sell of some of these other options into the installed base? Thank you.
Matthew J. Wallach - Veeva Systems, Inc.: So, yeah. It's still adding new customers. One company that we added in Q4 was a French company that went – Cegedim was an independent French company. We couldn't even get a meeting and now they've started their first deployment with Veeva. We have a team now in South Korea working on their first South Korean domestic deal. So there is still new customers to get within large and small pharma. But I think over the next few years, the majority of the incremental revenue is going to come from the cross-selling. And we've really got now off the early adopter mode with Align and Events and really proven that those were strategically important. The Align product – well, we've described it as running alignments in integrated system. And that's good. But what alignment management does is it really translates the strategy for how you go to market with your field resources and it translates that into the CRM. So it's really a bridge from the strategy into the execution and companies have been really successful with that. And we've not been at all surprised with Events. We thought that events management – it's a really hard process that our customers struggled with and great early success with Events on every continent already, maybe not Antarctica, but great success with Events. And, so, I think, it's now pretty balanced in terms of new users from existing and brand new companies, but then a lot of cross-selling and that's going to continue.
Brad Sills - Bank of America Merrill Lynch: Great. Thanks, Matt.
Operator: Our final question comes from Sterling Auty from JPMorgan. Your line is open.
Mine M. Kansu - JPMorgan Securities LLC: Hi. This is Mine Kansu in for Sterling Auty. Thanks for taking my questions. I just have super quick ones. The first one is just a follow-up on that cross-selling opportunity. Any product you think is going to be the highlight driving that growth on that end in this fiscal year that – if you can give us some color on that, that'll be helpful. And then, my second question is just on the CapEx expenses, if we should expect any incremental increases there in fiscal 2018? Thank you.
Matthew J. Wallach - Veeva Systems, Inc.: All right. Hi, Mine. It's Matt. I'll take the first one. So, of the three that are relatively new, Engage, Events and Align, Engage is going to be in early adopter mode this year. We've had tremendous interest and we signed a bunch of customers to be Engage early adopters, but it's not going to be a major revenue contributor this year, because this is year one. So next year after a good success with the early adopters, I think, that will start to contribute. I think this year, Events and Align are going to start to be the stars. And it's hard to say, which one of them is going to be bigger from a revenue contribution, because I think they're both strategically important. They are both gaining traction and there is probably even a race between those two teams to see which is going to be bigger this year. I think they'll both be successful.
Timothy S. Cabral - Veeva Systems, Inc.: And, Mine, this is Tim. Can you repeat your second question? We think tax was in there somewhere. Can you repeat it please?
Mine M. Kansu - JPMorgan Securities LLC: I was asking about the CapEx, the capital expenditures -
Timothy S. Cabral - Veeva Systems, Inc.: Oh. CapEx -
Mine M. Kansu - JPMorgan Securities LLC: If we should expect any increases there. Yes.
Timothy S. Cabral - Veeva Systems, Inc.: Yeah. Well, we talked about a couple quarter – thank you, by the way. I would have started talking about tax. We talked a couple quarters ago about the new project at our headquarters here where we're completing the build out of the entire building. We targeted that about $8 million. Roughly $2 million of that, we've seen come through the books through fiscal 2017 Q4. So another $6 million in CapEx over the next three quarters, above our normal run rate, which is around $1 million to $1.25 million, Mine, is the way that I would think about CapEx.
Mine M. Kansu - JPMorgan Securities LLC: Thank you.
Operator: There are no further questions at this time. I would like to turn the call over to Peter Gassner, CEO, for closing remarks.
Peter P. Gassner - Veeva Systems, Inc.: Thank you, everyone, for your time today. We look forward to seeing many of you at the Pacific Crest and Morgan Stanley conferences this week. In closing, I'd like to thank the entire Veeva team for the incredible dedication and execution in making it happen every day for our customers. Thank you.
Operator: This concludes today's conference call. You may now disconnect.